Operator: Good morning, ladies and gentlemen, and thank you for joining Cowen Group Inc. conference call to discuss the financial results for the 2014 first quarter. By now, you should have received a copy of the company's earnings release, which can be accessed at the Cowen Group Inc's. website at www.cowen.com. Before we begin, the company has asked me to remind you that some of the comments made on today's call and some of the responses to your questions may contain forward-looking statements. These statements are subject to the risks and uncertainties described in the company's earnings release and other filings with the SEC. Cowen Group Inc. has no obligation to update the information presented on the call. A more complete description of these and other risks and uncertainties and assumptions is included in the company's filings with the SEC, which are available on the company's website and on the SEC website at www.sec.gov. Also, on today's call, our speakers will reference certain non-GAAP financial measures, which the company believes will provide useful information for investors. Reconciliation of those measures to GAAP is consistent with the company's reconciliation as presented in today's earnings release. Now I'd like to turn the call over to Mr. Peter Cohen, Chairman and Chief Executive Officer. Please proceed.
Peter Anthony Cohen: Thank you, operator. Good morning, and welcome, everyone, to Cowen Group's first quarter 2014 earnings call. With me today are Michael Singer, CEO of Ramius, our Asset Management Business; and Jeff Solomon, CEO of Cowen and Company; along with Steve Lasota, our CFO. I will start with a brief overview of our performance for the quarter, followed by Michael, who'll discuss the investment management business and Jeff will provide an update on the broker-dealer, and Steve will take you through some of the details of our first quarter results. Cowen Group reported a new quarterly high for both revenue and Economic Income in the quarter since the Cowen/Ramius business combination in 2009. This performance improved as a result of the considerable effort and costs that we incurred over the last few years to rebuild our business. Today, Ramius is a $10.6 billion alternative investment manager, having grown by $1.1 billion in the first quarter of this year. We continue to attract new assets because of our differentiated offerings, long track records and -- what we view as intellectual capital of our PMs. Michael will discuss these plans to expand our current suite of 7 investment capabilities that are a highly relevant today's market environment and the work we are doing in providing more products across the liquidity spectrum. Cowen and Company, the broker-dealer, reported a record quarter since the business combination in the end of '09. We saw a very good mix of business between banking and brokerage revenue as both units showed solid year-over-year growth, which Jeff will talk about later. Banking revenue was dominated by equity capital markets with the favorable market environments and financing, enabling us to show our real -- our strength there. Our equity division continue to make headway in growing commissions with key accounts and in gaining market share overall. Here are some financial and operating highlights from the first quarter: Firm reported Economic Income of $10 million versus an economic loss of $1.3 million in the prior-year period. We again demonstrated our ability to scale without adding significant fixed costs. For the quarter, total non-comp expenses were up 3.6% or $1.1 million year-over-year. However, fixed non-comp expenses were up only $412,000 in the period, with a $35.9 million or 48% increase in revenue year-over-year. Obviously, our variable expenses reflecting commission business resulted in most of the increase in non-comp expenses. Turning to our balance sheet. As of March 31, we had $532 million in equity and $574 million in invested capital. We generated $8.2 million in investment income in the quarter versus $10.9 million a year ago. The reason being is some of our investment strategies were less productive in the quarter than the prior period last year, particularly fixed income, where there's been such yield compression, harder for us to make money in the first quarter, and the market -- equity markets in late March took some of the wind out of our -- or pushed out our merger arbitrage expense a little bit, costing us some P&L there. In March, as you all know, we augmented our capital base with a relatively long-term fixed rate financing, the private offering of $149.5 million aggregate principal amount of 3% cash convertible senior notes due 2019, gives us additional firepower to opportunistically invest in the future. We're in a very strong capital position to take advantage of opportunities that advance our objectives, and we're in a very strong operating position. To that end, we are spending a lot of time looking at ways to create shareholder value by optimizing the deployment of capital and leveraging all of our resources across the platform. The first quarter, I think, is the first really good example of what our business can achieve when the market is open and capital formation and our businesses are aligned. However, we recognize that not all quarters will look like the first quarter. This is why we've been hard at work driving organic growth and operating improvements across the platform, while identifying opportunities that leverage our core strengths of both Ramius and the broker-dealer. I would like to acknowledge all of our colleagues, for whom their collective efforts made this quarter a reality, it's really what drives this business and is greatly appreciated by all of us. Their commitment reaffirms our belief in Cowen's successes predicated on the common culture of teamwork, loyalty and the desire to meet needs of our clients. And now, I'll turn the call over to Michael, who will give you an update on Ramius.
Michael E. Singer: Thank you, Peter. I joined Ramius 17 months ago, and set to work with our team on growing AUM, extending our investment capabilities and extend the reach of the Ramius platform into new segments of the market. This year, our focus has been our ability to help emerging asset managers to institutionalize and grow their business. And bring high-quality liquid AI alternative products the high net worth’s in retail investors. I'm pleased to report that we made progress on all fronts. The first quarter of the year has been productive. AUM grew by $1.1 billion during the quarter, bringing the total AUM, as of April 1, to $10.6 billion. AUM growth came from alternative solutions, healthcare royalty and value active as capability. Management fees were unchanged, and incentive income declined by $400,000 over the prior year due to market conditions. We expect that the growth in AUM will result in increasing management fees over the course of the year and expanding potential for performance fee income. Additionally, RASL increased as committed capital is called and invested. We will spend the remainder of 2014 pursuing strategic AUM growth and building out our emerging manager, liquid alternative and general platform capabilities, are also making strides with our general platform of current 7 investment capabilities. As always, we look to provide investment capabilities and solutions that address the market's needs and to package these investment capabilities in a variety of ways that are relevant across the liquidity spectrum. We're actively working to identify talented teams with investment capabilities that can be successful on our platform. We will need many, many teams in order to find the right partners. We're very patient. To give you a sense of level of activity here, on average, we are meeting between 0.5 a dozen and a 1 dozen teams a week. And the number of inbound calls is growing. These teams understand that it takes more than just investment acumen to attract assets and to scale their business. We're optimistic about our ability to recruit teams to our platform. Ramius offers a compelling value proposition. We essentially offer teams 3 things, we provide them an institutional infrastructure, the so-called institutional halo because you need to be institutional before you can be sold institutionally. Second, sales and marketing. We have 14 talented and proven sales folks and marketing folks to support those efforts. And finally, know-how to run and grow a business, so PMs can focus on job 1, which is putting upgrade risk-adjusted returns. We'll accelerate their growth, so they can focus just on doing that, producing superior risk-adjusted returns. Last year, we added 1 new investment capability and 6 new funds. This year, we will pursue 2 forms of organic growth. One way is to attract new talent into the Ramius ecosystem, and to nurture that talent once it's here. We're also looking to make greater use of our already considerable capabilities. You'll hear more about this in the coming months. In January, we announced 2 key hires that will be instrumental in launching new capabilities and furthering our relationships with investors. Jake Walthour, our Vice Chairman of New Business and Product Development, and Brad Sussman, Head of Liquid Alternative Products. I mentioned both of these individuals in our last call. They have now been with us for about 3 months. And as you can imagine, it's been a very active and productive period. Jake is aggressively working on building out our diversity and emerging manager platform. This is an area that has traditionally been underallocated to a limited number of institutional quality, emerging diversity teams. With the right teams in place, we believe that we could see meaningful investments by public pensions, municipalities and cities and other blue-chip investors. On the Liquid Alternative front, we're continuing to develop strategic relationships and core products that are easily understood by financial advisors. The selling to the Liquid Alternative market is quite different from direct institutional selling that requires an advanced understanding of how this marketplace operates, its product needs and the ability to educate financial advisors about how our products can enhance their client portfolios. Brad has been in the forefront of the movement to offer Liquid Alternatives to retail mass affluent investors in his role as previous from Merrill Lynch, has an intimate understating of this market and how we can win. In addition to opening a mutual fund and exchange rate of funds, we've seen liquid opportunities for public and private DDCs, public and private REIT, SMAs, fee-fixed risks and other structures. Our sales and marketing organization is showing more productivity, following the changes we made to the incentives and the general approach. I'm encouraged by the level of collaboration I'm seeing, and our success is reflected in our ability to grow assets and to attract blue-chip investors to our investment capabilities. Expense control remains an ongoing priority. We see additional opportunities to save on costs, without sacrificing the quality of our infrastructure. Having said that, our business is highly scalable. We do not need to add much in a way of fixed expense in order to grow revenue. And much of the additional expense, from the addition of new investment teams will be variable in nature. But as you know, the real elasticity in the P&L will come as performance fees grow. Finally, we have been working on building the Ramius brand. To that end, we have a number of initiatives underway, including white papers, conferences and educational events that will highlight our thought leadership and platform capabilities in a manner that the market can appreciate it. I will now turn the call over to Jeff, who'll provide an update on our broker-dealer, Cowen and Company.
Jeffrey Marc Solomon: Thanks, Michael. It is really been a fantastic quarter for us. It's been our strongest quarter since the Cowen/Ramius business combination in 2009. Since that time, we've all experienced that the U.S. equity volumes have been in a secular decline and the environment for capital markets has been mixed, and we took the time -- and during that, during those challenging operating environment to strategically invest and rebuild the broker-dealer. In 2012, our results began to show signs of consistency, and in 2013, after harvesting some of the benefits of the changes the broker-dealer demonstrated more substantial improvement. The progress has continued into the first quarter 2014, and our first quarter results are a testament to Cowen's potential as we further strengthen the platform. As Peter mentioned earlier, we're building an organization that can succeed in various market environments. Despite the macro events in the quarter, the new issue market remained largely resilient, with the number of IPOs nearly doubling from a year ago, and the follow-on markets for equity financing also continuing to be favorable. We're well positioned to benefit from this trend. Total first quarter 2014 revenue was $83.9 million compared to $45.2 million in the prior-year period. Banking revenue was $49.6 million compared to $17.2 million in the first quarter of 2013. We closed up 47 deals in the quarter compared to 16 in the prior-year period, 41 of those were equity-related, 3 came from our Debt Capital Markets business, and 3 were advisory assignments. We started as a book runner on 5 out of 9 IPOs in the quarter versus last year in the first quarter 2013, we were not involved in any IPOs. So the Debt Capital Markets revenue was modest in the quarter when compared to our 2013 run rate. Our 2014 pipeline is robust. Our ECM average fee per deal has traditionally been greater than ECM, making the revenue in net products somewhat lumpier. Our Health Care vertical continues to be a core banking strength. We are actively working to increase revenues from other verticals as we improved our revenue diversity from both a product and industry perspective. Indeed, a number of our verticals outside of Health Care also saw meaningful revenue increases. Our equity's business, revenue was $34.3 million, up 23% over the prior-year period. This is in an environment where U.S. trading volumes were up only 9% year-over-year in the first quarter. What is encouraging though is that it's the first time we have seen volume and the overall market trending higher, and that is certainly encouraging. March 2014 marked the 1 year anniversary of the Dahlman Rose acquisition. A lot of changes have occurred in our organization since then. Beyond the simple growth and headcount, we now cover more than 700 companies from a research perspective, up from 400-plus before the acquisition. We deliver more research content to more accounts, and more importantly, we are covering those accounts more effectively. Since we embarked upon a comprehensive mapping effort, over a year and half ago, we've installed new management disciplines where client votes have improved dramatically. According to a recent survey from Grant Associates, our equity research products market share doubled year-over-year. And based on a separate industry survey, we moved up a spot in the research vote. These are incredibly solid achievements in a very competitive marketplace, and it's a true testament to our commitment to providing alpha generating idea flow from our research capabilities. In light of the heightened conversation around market structure, I wanted to briefly mention Cowen electronic product capabilities in more depth. It is important to note that the trends outlined and Michael Lewis' books are not new. We recognized the need to bring a product suite into our organization that would enable our clients to transact more effectively in a nonconflicted way. Our algorithmic product, which we acquired with ATM a couple of years ago, is a liquidity venue neutral product, and our solution enables our clients to seek their liquidity based on a number of parameters that best suit their needs. In other words, routing decisions they're making are driven by execution quality factors and not by economics. We provide realtime transparency of venue on every execution, and full transparency and customizability of routing configuration. In short, our electronic product is 100% aligned with the interest of our institutional customers. And we are the only research-focused brokerage organization to be able to offer this kind of high-quality execution to our clients. It is a real differentiator. And that is why our clients have begun to use our product suite. Today, we have 102 active clients compared to 84 a year ago, and 58, 2 years ago. Our goal at Cowen is to be a thought leader in our core sectors by providing clients of unparalleled domain expertise, advice, and execution services through our key commitment to high-quality research and investment banking services. Companies hire us because the corporate finance advice we give is well-informed, thoughtful, and our execution is superior. Accounts pay us because we're one of the few firms to provide agenda-setting research on relevant topics, and they care what we have to say. Ultimately, our brand we build is based on trust, integrity and our ability to provide corporate and institutional clients with the tools and insight to be better investors, business operators and decision-makers. In summary, it's really gratifying to see what our organization can achieve on all the businesses we're working together as a unit. It is truly a reflection of the dedication and tenacity of our employees, and I want to thank them for their efforts in helping us to achieve another record quarter at the Cowen and Company. With that, I will now pass along the call to Steve Lasota, who will give you an update on our financial performance.
Stephen A. Lasota: Thank you, Jeff. As Peter mentioned, on March 10, 2014, we issued $149.5 million of 3% cash convertible senior notes. The convertible notes are due March 2019 unless earlier repurchased by the company or converted by the holder into cash in accordance with the terms prior to such date. The convertible notes or unsecured obligations that hold an initial conversion price of $5.33 per share. We used $20.5 million of the net proceeds on the sale of the notes to purchase a cash convertible note hedge and warrant transaction, which increased the effective conversion price to $7.18. The remainder of the net proceeds will be used for general corporate purposes. For the first quarter of 2014, we reported GAAP net income of $9.8 million or $0.09 per share compared with a GAAP net loss of $2.6 million or $0.02 per share in the prior-year period. In addition to our GAAP results, management utilizes non-GAAP measures, what we term as Economic Income, to analyze our core operating segments performance. We believe economic income provide a more accurate view of the operating businesses by excluding the impact of accounting rules that require us to consolidate certain of our funds and certain other acquisition-related expenses and other reorganization expenses. The 3 months ended March 31, 2014, the company reported Economic Income of $10 million or $0.09 per share compared to an economic loss of $1.3 million or $0.01 per share in the first quarter of 2013. First quarter 2014 Economic Income revenues were $110.8 million, an increase of $35.9 million compared to $74.9 million in the first quarter of last year. We generated $8.2 million in investment income for the first quarter. This compares to $10.9 million in the prior-year period. On the alternative investment side of our business, the management fees were unchanged at $14.1 million in the first quarter versus the prior-year period. Incentive income was $4.7 million in the first quarter compared to $5.1 million in the first quarter of last year. In our broker-dealer segment for the first quarter, investment banking revenue was $49.6 million compared to $17.2 million in the prior-year period. Brokerage revenue was $34.3 million, a $6.3 million increase over the prior-year period. For the quarter, compensation and benefits expense was $67 million, a 51% increase year-over-year. the increase is primarily due to higher revenues during the first quarter of 2014 as compared to the 2013 period, which resulted in higher compensation and benefits accrual to remain consistent with the company's compensation to revenue ratio. For the first quarter of 2014, we reported an aggregate comp-to-rev ratio of 60% compared to 59% in the prior-year period. The increase is primarily due to a change in business mix in the prior-year period. Excluding expenses associated with the activities to which the company is reimbursed in severance expense, the comp and benefit expense was 59% of Economic Income revenue in the first quarter of '14 versus 55% of Economic Income revenue in the prior-year period. Moving to our non-comp expenses. For the quarter, fixed non-comp expense has increased by 2% year-over-year to $22.8 million. This is primarily due to an increase in occupancy expense related to the space acquired during the Dahlman Rose acquisition completed in the first quarter of 2013. This expense was partially offset with savings related to various firm-wide efforts to reduce fixed expenses. For the quarter, variable non-comp expense was $9.4 million compared to $8.7 million in the first quarter of '13. The increase was due to an increase in brokerage and trade execution expenses related to the Dahlman Rose acquisition and overall higher expenses, which generated increased trading costs. In addition, marketing and business development expenses were increased due to increased marketing activity firm-wide. For the quarter, we also had interest expense of $643,000, primarily due to the convertible notes. While Economic Income is a pretax measure, I'd like to briefly touch on our tax position. Cowen has significant net operating losses or NOLs in the U.S. that carry forward to the future of $340 million. The associated growth of deferred tax asset currently amounts to $135 million. There is 100% valuation allowance against that asset, but it has significant value to the firm. IRS rules associated with the acquisitions of Cowen and Company in 2009 and LaBranche in 2011 partially limit the amount of NOL that the company will be able to utilize annually but significant amounts of future earnings will be shielded from taxes by this asset. Turning to our balance sheet. Our stockholder's equity amounted to $532 million at March 31, and our book value per share was $4.61 per share. Tangible book value per share, which is a non-GAAP measure, was $4.19 per share compared to $3.99 per share at the end of '13. Finally, moving to our share repurchase program and other treasury stock transactions. In the first quarter, we repurchased approximately 810,000 shares in the open market and 453,000 shares as a result of net share settlement related to the vesting of equity awards. The total cost in the quarter was $5.3 million or $4.22 per share. Since we announced our original repurchase program in July of 2011, we have repurchased 12.2 million shares in the open market. We also purchased an additional 4.5 million shares as a result of net share settlement related to the vesting of equity awards. The total cost of the program through the first quarter of '14 was $38.7 million, which represents an average price of $3.15 per share. As of March 31, we had $21.4 million remaining under the current program. I will now turn the call back over to Peter for closing remarks.
Peter Anthony Cohen: Thanks, Steve. Well, I mean, here you have it, everybody. Good first quarter, we're really pleased starting to really see the leverage we've created out of all the work that's taken place over the last few years obviously, we're all in this business somewhat market-dependent, but we think we'll continue to make progress, and feeling really good about where we are. And with that, let me just open it up to any questions.
Operator: [Operator Instructions] Our first question comes from the line of Joel Jeffrey with KBW.
Joel Jeffrey: Just a quick question. You clearly had a very good revenue quarter on the brokerage side. Can you talk a little bit about the profitability in that business and the type of leverage you're seeing driven by the higher revenues?
Jeffrey Marc Solomon: Just to clarify, brokerage, like the commission business?
Joel Jeffrey: Yes, the broker-dealer business inclusive of the investment banking and the brokerage.
Jeffrey Marc Solomon: Well so, look, obviously, it's a high fixed-cost business, and we've done a lot to bring our cost in line. So what we're seeing is above certain revenue levels, a significant portion of that drops into profitability. So the marginal revenue above, really above $60 million is impactful to us, $60 million a quarter is impactful to us. So I kind of like what we're doing here because it demonstrates that when we have the right kind of environment and as we continue to scale the business, revenue actually, the incremental revenue is meaningful to us-- from an accretion standpoint.
Joel Jeffrey: Okay. And then on the ECM side, I know you said you'll continue to seek real strength in the Health Care business and you mentioned a couple of other verticals. Can you specifically talk about some of the verticals you're starting to see improved strength in that business?
Jeffrey Marc Solomon: So our ECM business is interesting. Our ECM business caters largely to Health Care, in tech and in terms of our ability to do a lead-managed business. We've seen some growth in Cleantech in particular over the last really the last 6 to 9 months, which is impressive. Because actually we're starting to see a resurgence in that business, and we like to see that. Those guys actually use a lot of capital to build out projects and do developments. So we do have a pretty good position in that space. I would also say the DCM business caters largely to middle-market sponsors and industrials and consumer, aerospace and defense. And what's nice about the balance in our business is that, when we walk into a room and we're pitching our capabilities, we can pitch our capabilities to finance companies up and down the capital structure. Where we've been benefiting significantly over the course of the past year is in the fact that there's a significant growth in what I would call the shadow banking or the alternative lending space, as banks have exited parts of the marketplace, and our -- and our DCM capabilities cater to finding alternative forms of financing for companies in consumer and aerospace and defense, energy, those are the areas where you can find a more diversified lender base. And so that's where we're seeing the gains. We're using our ability to come with creative financing solutions to leverage ourselves into a trusted advisor status.
Joel Jeffrey: Okay. And Jeff, maybe just a follow-up on that one. I know you said earlier that the DCM can be a bit more lumpy, but it's certainly, definitely a little bit lower than what we were looking for this quarter. Was it just a function of things not closing or are you seeing anything different in the pipelines there?
Jeffrey Marc Solomon: Actually, it is the function of things not closing. Sometimes, these things take a little bit longer. They are highly negotiated. Sometimes are private placements. So they push into the next quarter. It's interesting the company that we're financing aren't necessarily needing to get things done by the end of the quarter. In some cases, you see that in the equity market, where people want to put more equity on their balance sheet before they report here, and these are just growth businesses. They are really -- they close in due course, and so, they just got pushed into the next quarter.
Operator: [Operator Instructions] Our next question comes from the line of Mike Adams with Sandler O'Neill.
Michael Adams: So another question for Jeff here on the brokerage business. So really strong results in the first quarter, and I know that there's clearly a seasonal factor there where we're looking at industry volume that's up 15% or so. I'm just wondering if you can give us like a little bit more precision in terms of what's driving the quarter-over-quarter revenue growth. What seasonality in this higher volumes versus some of the market share gains that you're picking up.
Jeffrey Marc Solomon: I think that the #1 differentiator for us is account penetration. When we did the Dahlman Rose acquisition, we recognized that we had excellent research and excellent penetration in our areas of expertise. The problem was, we just weren't providing enough product to actually garner meaningful enough votes across our biggest accounts. And so, adding the Dahlman capability in these sectors where we have exceptional research footprint, I mean it's really been fantastic cultural fit has been exceptional, because there's been a high focus on -- there's a focus on high-quality research. And all of a sudden, we've taken and we now have more sectors inside these organizations that are relevant to the vote givers. And when you aggregate those up over the course of the past years since we did this, the votes have been coming in pretty strong, and that takes time for it to translate. So I always like to say, first you got to get published, then you got to get people to actually pay attention, and when they vote, then you can begin to have a dialogue with the trading desks about where we've moved in the research vote. And where I think at the front-end of being able to realize that maybe in the first quarter is, the first quarter that we've seen where people are recognizing it, there's actually a gap in where we are, research wise versus where they've been paying us historically. And so, we think we should be getting a bigger share of the wallet from our clients than we have in the past. And I think it's; bearing out, when you look at the Greenwich -- when you look at that survey, it really does talk about not just the practical aspects of where we are in the vote, the specifics of where we are in the vote, but also, a number of softer items like, how impactful is the research? When you think of high-quality research, who do you think of? I mean, there's a lot of softer, brand-oriented positioning things that go into factoring where you are in that survey. And the fact that we've doubled our market position, I just don't think there's any other brokerage firm that's doubled its market position in the past year. And so it tells you that we're -- in addition to taking advantage of an increase in the overall market, we're actually outperforming because those are some things that we're doing here internally.
Michael Adams: Got it. And then just following up the doubling of the market share. I mean, it sounds like, based on some of your comments, that you still think there might be a gap between the value that you're providing your customers and the commission dollars you're receiving. So like, how much further penetration do you think you can get with these accounts like how much more can you move up in the broker votes, I guess, like what inning are we in?
Jeffrey Marc Solomon: I mean look, we won. We always have room to move north, I think. Some of our products is top 10 products. I mean, it's just goes to show you that when you have a clearly differentiated product on the shelf and you've been able to add value, the people don't necessarily have to trade but all the big guys. The big guys dominate because of their ability to really provide significant liquidity through their dark pools and their electronic and added [ph] the capability. I mean -- and every client that we talk to has to deal with the bigger banks. When they choose to deal with people that aren't the bigger banks, they're doing it because there's a value proposition. And I think we're in the early innings of being able to recognize that. We haven't yet fully realized, from a revenue standpoint, where we are in terms of the actual vote, but we got much further to go. I'd like for us to be inside of the top 15, which is a fairly meaningful revenue bump from even where we are.
Michael Adams: Great. And then, Jeff, last question, following-up on -- I appreciate the commentary you gave on the market structure, the market structure debate that clearly, I mean it's always ongoing, but at elevated levels right now. Some of the media reports that we've gotten recently, subpoenas to certain market participants, I mean, is this something you view potentially as an opportunity if people are dialing back or if there is maybe a greater light shown on some of the dark pool activities that something you think that could benefit Cowen?
Jeffrey Marc Solomon: Well I think it does benefit Cowen because of the way we're positioned with our products. So the ATM products is, as I said, broker neutral, and it's also venue neutral. So if there is liquidity to be had, the goal is to arm our institutional clients with the ability to actually give them the tools to deal with predatory behavior. And if there's predatory behavior in certain pools, we want people to recognize that, and enable them to capture liquidity without fear of sort of being picked off. And you can do that when you're an organization like ours that doesn't have conflicts. So we don't have our own dark pool, we're not reading people's flow and try to match it off in an internal matching engine prior to taking it to the market. We're going to all 50-plus different venues and giving them a window into where there's liquidity in the stocks they care most about. And we can either do that for them, we can advise them or they can do it on their own by taking our software capabilities and actually manipulating it themselves. And so, we're agnostic in terms of how our clients want to use the product, but the good news for us is our Best Product, which is the name of it, is really making a difference in the places where we've been able to get it installed and I think we're at the front-end of that as well. We're getting some really good client feedback, and when people start to realize that we offer a tool that's differentiated in the marketplace, I can't imagine why somebody wouldn't want to have it.
Michael Adams: Understood. And Michael, appreciate the commentary that you gave us on why management fees, as a percentage of AUM, tick down some of the undrawn commitments. Can you give us an actual dollar amount of non-fee generating AUM that I feel like if we have that number might smooth out that management fee yield that we're all calculating?
Michael E. Singer: It comes from more than more place, So I can't give you a number with precision. From one place, order of magnitude, $600 million. In the other places, it's a little bit more complicated because it's how 2 funds interact with one another, and when the fee is turned on in one and turned off on another. So that's not -- it can't be put in that context. But a lot of it is about this $600 million. And a little bit is also because of our solutions business, which is growing in AUM, and as certain client accounts get bigger, there are breakpoints in the fee schedule so the management fee does tick down on incremental assets. Of course, we're making more money all the way through it, and they have performance fees.
Michael Adams: Got it. And last question from me, probably a question for Steve. The fixed non-comp expenses, were there are any unusual items in there? I know you hosted a couple of conferences in the first quarter, so is that a line that maybe could drop in the second quarter as that rolls off?
Stephen A. Lasota: Yes, we tend to have higher expenses in the first quarter because of our conferences. And as -- we didn't have Dahlman in the first quarter, the full year rent in the first quarter compared to '13, so and we have, and I think that we talked about in the last call a little bit, we have done some stuff at our Boston office, so we do expect fixed non-cost to come down a bit, but we're working hard at it, but nothing really meaningful at this point.
Peter Anthony Cohen: But the health care conference is in March, and that's the single biggest conference expense.
Stephen A. Lasota: We have probably have -- we have 4 conferences in the first quarter.
Operator: Our next question comes from the line of Devin Ryan with JMP Securities.
Devin P. Ryan: So just a few for me here. So, I guess, starting off with respect to the recently raised capital. It will just be great to get some color around some of the opportunities that you may be looking at to actually deploy that capital. Is that going to be more towards the investment management business? And then do you have any sense around timeline of being able to put that capital to work?
Peter Anthony Cohen: Yes. Well, the principal objective of that capital was to enhance our ability to bring in teams and we're not in the seeding business, that's not what we do. We're in the business of expanding our platforms. So we have, in the pipeline, 2 or 3 kind of active discussions with the PM groups that will bring new product that we think are scalable, and we would expect to deploy capital in each of those as a way of showing our commitment as we go to raise money. In the meantime, that capital was deployed on our balance sheet in basically credit and virtual arbitrage, then in our real estate lending business. So went to work during yield to cover the cost plus when we find the right opportunity to take some portion of the capital because we've got a portfolio group joining us that we think is scalable, and we think it's a good place to put capital, we will redeploy it. It's really earmarked towards building an asset management business.
Devin P. Ryan: Okay. Got it. And I guess that gets to maybe the next point. I appreciate all the color around how many teams you guys are seeing and meeting with on a weekly basis. And it sounds like quite a bit of activity there. So just curious, what the maybe constraining factor is when you meet with somebody why it doesn't work out, and again, I appreciate the color you just gave around the amount of groups that maybe you are close to joining. But of these 6 to 12 teams that you're meeting with on a weekly basis, I mean, how often are they getting to that kind of next level of discussion where you're getting closer and I'm assuming that there may be some additional teams that are still kind of moving along that pipeline. So just some additional color there will be helpful.
Peter Anthony Cohen: Remember, what we're trying to do is find strategies that we think are relevant to the environment we're in. And what do I mean by that? So we think interest rates are going to stay low a long time. There is this desperate need for yield. We're looking at things that leverage our distribution platform, where we both, the internal and external distribution capability. And I think where things break down is because, we, at the end of the day, don't think that it's either the team is for us culturally or that it's a product that we think we can leverage in terms of growing AUM. I mean, I think, it's much more us than it is them. And we're going to be very deliberate about when we add a team because we expect it to be here forever. So one thing is for sure, if you are not of a certain scale today, it's going to -- it's really hard to get to scale with all of the compliance, legal requirements of being in the investment management business, past the due diligence of any of the consultants. It's getting -- it's always been difficult, it's getting more difficult. That's part of what we have to offer, which is all the infrastructure in place, we've been vetted by the toughest in the country, and our sort of depth of distribution. So we have a lot to offer, and therefore, we're being really picky about the people we are talking to.
Devin P. Ryan: Okay. Great. I appreciate that color. And then, with respect to the balance sheet. It's -- be curious to get a little bit more detail around how you're positioned today. Has there been any changes to kind of how the balance sheet is positioned over the past couple of quarters. And I guess, I'm just getting at -- are you more risk on or risk off or just your view through the balance sheet investments?
Stephen A. Lasota: Well, we're not really a risk on, risk off balance sheet. I mean, we're looking for absolute returns from where we deploy our capital. The one thing that, that has happened is we continue to make progress in liquefying some of our legacy investments and our liquids to our total capital keep coming down. At the same time, we're having very good success in raising new real estate debt money. We're going to close debt Fund 5 June 30. We have a hard close, and then we're going to start on debt Fund 6. So we'll deploy capital there. Debt Fund 5, and again in Debt Fund 6, but those are yielding assets. What we're doing in credit is basically its yield, and what we're doing in merger arbitrage is basically yield. So yes, we'll take some volatility based on market fluctuations. We're not sitting here saying, we don't like the market, let's get out of it. We do like the market, let's get in it, because we're not trading equities. We're basically in the arbitrage business or the yield-seeking business.
Devin P. Ryan: Sure. Okay, I appreciate the color. And then just lastly, maybe one for Steve. Just around the Dahlman Rose occupancy. I know that, that has led to a little bit higher kind of fixed expense. But do you guys plan on keeping that space or when will that expense roll off? I'm just trying to think through some of the moving parts.
Stephen A. Lasota: Well, yes, there were 2.5 floors at 1301 that Dahlman had. We've already sublet 1 just recently. And there will be a little impact in lowering rent because we took some more space here to accommodate the expansion of the whole activity in the broker-dealer. We have less than 2 years left on the Dahlman Rose, 2 years or 3 years?
Unknown Executive: 2 years.
Stephen A. Lasota: We have less than 2 years less left on that 1.5 floors. We're using it because we're chock-a-block full here, and , I guess, our expectation is when that lease expires, we're out of there, and we'll look for less expensive space that's much closer to us on LAX for those people who are over there.
Devin P. Ryan: Got it. Okay.
Stephen A. Lasota: I mean, we're find that -- our space issues are pretty well cleaned up, and relative to our revenues, our rent now is -- our rent and our non-comp expenses are compared to where we were 3 years ago, 2 years ago, we're getting inline, we're inline and now we're going to drive harder to get them sort of in an even better position.
Operator: There are no other questions at this time.
Peter Anthony Cohen: All right, then. Thank you, all, for attending the call. Operator, thank you, and we'll see you end of the second quarter.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes our presentation. You may now disconnect. Have a wonderful day.